Operator: Good morning, ladies and gentlemen. And welcome to the NACCO Industries 2024 Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all lines are in listen-only mode. Following the presentation we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, March 6, 2025. I would now like to turn the conference over to Christina Kmetko, Investor Relations. Please go ahead.
Christina Kmetko: Thank you. Good morning, everyone, and welcome to our 2024 fourth quarter and full year earnings call and webcast. Thank you for joining us this morning. I'm Christina Kmetko and I'm responsible for Investor Relations at NACCO. Joining me today are J.C. Butler, President and Chief Executive Officer; and Elizabeth Loveman, Senior Vice President and Controller. Yesterday, we published our 2024 fourth and full year results and filed our 10-K. This information is available on our website. Our remarks that follow, including answers to your questions, contain forward-looking statements. These statements are subject to several risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements made here today. These risks include, among others, matters that we've described in our earnings release, 10-K and other SEC filings. We may not update these forward-looking statements until our next quarterly earnings conference call. We'll also be discussing non-GAAP information that we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures can be found in our earnings release and on our website. With the formalities out of the way, I'll turn the call over to J.C. for some opening remarks. J.C.?
John Butler: Thank you, Christy, and good morning, everyone. We delivered solid fourth quarter results, which represented a strong finish to a successful year. For those who follow us closely, you will recall that last year I noted that all the unfavorable comparisons we experienced throughout what was a challenging 2023 should turn favorable in 2024. Well, I'm pleased to say that is exactly what happened. Our company delivered robust 2024 fourth quarter net income of $7.6 million and full year net income of $33.7 million. fourth quarter adjusted EBITDA of $9 million increased almost 27% over fourth quarter 2023, and full year adjusted EBITDA of $59.4 million increased 116% year-over-year. Before I provide more color on the year, I want to recognize our outstanding employees. I'm extremely proud of the way these talented, dedicated, and motivated individuals continue to deliver success. These are the folks who produced our significantly improved 2024 results. They continue to find new and innovative ways to support our customers while working to implement our grow and diversify strategies. I want to thank each of them for the hard work and many contributions that they put forth to strengthen us today and to secure new opportunities for our future. I am honored each and every day to work alongside such an amazing team. Our strong 2024 performance was led by our Coal Mining segment, where segment-adjusted EBITDA more than quadrupled from 2023. North American Mining delivered a 35% increase in segment-adjusted EBITDA, and Minerals Management generated a 21% increase in segment-adjusted EBITDA. Much of the Coal Mining segment's improvement occurred at Mississippi Lignite Mining Company. While this mine dealt with its customers' plant running with only one boiler for more than half the year, business interruption insurance income of $13.6 million received in the third quarter helped offset the reduction in customer demand. Despite lower revenues at Mississippi Lignite Mining Company due to reduced customer demand, the Red Hills Mine operated more efficiently in 2024 than a year ago when it was finalizing the move to a new mine area and contending with difficult mining conditions. Those challenges are now behind us. Earnings at our unconsolidated Coal Mining operations also improved, with an increase in earnings at both Coteau and Falkirk. Specifically, Falkirk experienced increased customer demand at a higher per-ton management fee beginning in June 2024 when the temporary price concessions associated with Rainbow Energy's acquisition of Coal Creek Station ended. We're encouraged that evolving policy frameworks seem to be creating a more favorable regulatory environment for the fossil fuel industry moving forward, and demand for dependable electricity is projected to outpace supply. These developments are expected to further support coal as an essential part of the energy mix in the United States for the foreseeable future. Shifting to North American mining, this segment continues to benefit from progress on operational and strategic projects that have improved profitability and will continue to do so. In addition to the segment-adjusted EBITDA improvement, full year operating profit of $5.8 million was up 72% compared with 2023. However, North American mining experienced lower profitability in the second half of 2024 compared with the first half. This decline was due in part to an overall reduction in demand, partly attributable to the ongoing effects of three hurricanes in Florida in the second half of the year. We expect North American mining to generate increasing levels of operating profit and EBITDA over time as benefits from new and extended contracts add to the profitability of existing contracts. During 2024, North American mining executed two new contracts and amended an existing contract, all of which are expected to deliver net present value of after tax cash flows of approximately $20 million over contract terms which range from 6 to 20 years. Wrapping up my North American mining comments, let me mention Sawtooth Mining, which is the exclusive contract miner for Lithium Americas’ Thacker Pass Lithium project in Northern Nevada. Lithium America continues to make progress on the Thacker Pass project, and we continue to support the project by assisting with certain construction services as they ramp up work to build the lithium processing plant. In the fourth quarter of 2024, we and Lithium Americas agreed to expand the scope of our work to include transportation of clay tailings once lithium production commences. This expansion of work comes with an expected increase in our income from this long-term project. Phase one production is estimated to begin in late 2027. At Minerals Management, the 2024 adjusted EBITDA improvement was primarily due to a $4.5 million gain on the sale of assets. Excluding the gain, Minerals Management's 2024 earnings were comparable to 2023. We are very pleased with the work done by the Catapult Mineral Partners team, which manages this segment. They have greatly expanded our portfolio of mineral interests so that we are now more diversified in terms of our oil and gas mix. We work with a wider range of operators. We have a greater geographic footprint and we own interest in various stages of mineral development, ranging from producing wells to undeveloped mineral interests. This expansion continued in the fourth quarter of 2024 when minerals management invested an additional $15.7 million in a company that holds non-operated working interests in oil and natural gas assets in the Kansas and Oklahoma portions of the Hugoton Basin. This investment is expected to be accretive to future earnings. While we continue to budget up to $20 million annually to expand our portfolio and provide long-term stable cash flow generation, our business model allows flexibility regarding the cadence and type of investment based on available opportunities that we believe will result in significant long-term value and increasing profitability. We believe that this expansion and diversification program has us well positioned to generate increasing levels of operating profit and EBITDA well into the future. Finally, moving to Mitigation Resources of North America, I'm pleased to note that the business contributed positively to operating profit and EBITDA during the 2024 fourth quarter and is expected to achieve full year operating profit in 2025 based on current expectations for the business. Our expectations were bolstered in January when the team secured a restoration project in Kentucky that is expected to be accretive to earnings beginning in 2026. We believe that Mitigation Resources is on track to increase profitability over time. Overall, I'm excited about our business trajectory. I'm optimistic about the future and I'm pleased with the way all of these businesses continue to advance their strategies. I believe 2025 is a pivotal year for our company as our legacy businesses stabilize and our new businesses gain traction. We are proud of what we have accomplished thus far and have confidence in our journey. We love our story and intend to increase our level of shareholder engagement in the coming year. Look for more information about that in the months to come. With that, I'll turn the call back over to Christy to cover our quarterly results and outlook.
Christina Kmetko : Thank you, JC. I'll start with some high-level comments about our consolidated fourth quarter financial results and then I'll discuss the results at our individual segments and our 2025 outlook. We reported consolidated operating profit of $3.9 million and net income of $7.6 million for a $1.02 per share. Last year, we reported a fourth quarter operating loss of $67.4 million and a net loss of $44 million for a loss of $5.88 per share. Adjusted EBITDA increased to $9 million from $7.1 million in 2023. The 2023 financial results included a $65.9 million pretax asset impairment charge. I'd note that $60.8 million of the impairment was in the 2023 Coal Mining segment results and $5.1 million was in mineral management results. Our Coal Mining segment reported operating profit of $2 million and generated segment-adjusted EBITDA of $4.2 million in the 2024 fourth quarter. This compares an operating loss of $62.3 million and segment-adjusted EBITDA of $3.2 million in 2023. Segment-adjusted EBITDA increased 32.6% primarily due to higher earnings at the unconsolidated operations as a result of increased pricing at Falkirk and improved earnings at Coteau as well as increased customer requirements at both mines. Lower operating expenses also contributed to the higher Coal Mining results. North American Mining reported a fourth quarter 2024 operating profit of $800,000 compared with a $600,000 operating loss in the prior year. The improvements in operating results and segment-adjusted EBITDA were mainly due to reduced operating expenses particularly outside services. The prior year results also included a $500,000 loss on sale of a dragline sold in connection with the extension of a customer contract. Minerals Management's fourth quarter 2024 operating profit improved to $7.2 million, up from $2.5 million in 2023 primarily because the prior year quarter included a $5.1 million impairment charge. Revenues and segment-adjusted EBITDA which excludes the 2023 impairment charge were generally comparable to the prior year. Looking forward, our businesses provide critical inputs for electricity generation, construction and development, and the production of industrial minerals and chemicals. Increasing demand for electricity, on-shoring and current federal policies are creating favorable macro and economic trends within these industries. As J.C. mentioned, we are confident in our trajectory and business prospects as we enter 2025 and prepare for longer-term growth opportunities. Specifically in 2025, we expect to generate a modest year-over-year increase in consolidated operating profits. In 2025, the Coal Mining segment anticipates solid customer demand with deliveries expected to increase modestly from 2024. In addition, the Coal Mining segment expects to benefit from the absence of temporary price concessions at Falkirk. At our Mississippi Lignite Mining Company, they continue to recover from inefficiencies experienced while the customer's Red Hills Power Plant operated on one of two generation units for more than half of 2024. With the Power Plant now anticipated to operate at a level consistent with historical averages, coal deliveries are expected to return to more normal levels, resulting in modestly improved cost efficiencies. However, an anticipated reduction in the 2025 contractually determined per-ton sales price compared with ‘24 is expected to offset these improvements, leading to lower results at Mississippi Lignite Mining Company. This, combined with an anticipated increase in operating expenses in the coal segment overall, is expected to result in a modest year-over-year decrease in Coal Mining segment operating profits. North American Mining is expected to deliver improved results in 2025, predominantly in the second half of the year, based on expectations for comparable year-over-year customer demand. Minerals Management's high-quality diversified portfolio of oil and gas mineral interests provides a strong foundation of well-positioned assets that are expected to continue to deliver solid financial results. Minerals Management's recent investment in the Hugoton basin is expected to be accretive to earnings in 2025. Overall, Mineral Management's 2025 operating profit is anticipated to be comparable to ‘24. Lower first-half earnings are expected to be offset by an improvement in the second half, given forecasted trends in oil and natural gas prices and projected buying. We started the process to terminate our defined benefit pension plan in 2024 and expect that process to be completed in 2025. This will eliminate future volatility from changes in our pension obligation. Once complete, obligations under the terminated plan will be transferred to a third-party insurance provider. Although the plan is currently overfunded, a significant non-cash settlement charge is anticipated upon termination. Excluding that anticipated charge, net income is expected to decrease moderately compared with 2024. Before I turn the call over to questions, let me close with some information about our liquidity and cash flow. We ended the year with consolidated cash of approximately $73 million and debt of $99.5 million. Availability under our revolver was approximately $99 million. In 2024, we paid $6.6 million in dividends and repurchased approximately 317,000 shares of our Class A Common Stock at prevailing market prices for an aggregate purchase price of $9.9 million. As of December 31, 2024, we had $8.5 million remaining under our $20 million share repurchase program that expires at the end of this year 2025. We expect significant annual cash flow generation in 2025 and future years based on our current business plan. We will now turn to any questions you may have.
Operator: [Operator Instructions] Your first question comes from Doug Weiss with DSW Investments.
Doug Weiss: Oh, hi, yes, sorry about that. My phone dropped just as the Q&A started. So, on the coal business, I think the results are a little better than they looked at first, if I'm right, because you had a $6 million inventory write-down in that division. Is that accurate?
Christina Kmetko : We have taken inventory write-downs, that's correct.
Doug Weiss: I mean, yes, so I think a lot of companies would add that back to EBITDA. And if I do that the division did about $10 million of EBITDA. Would you argue that's not a reasonable adjustment? I guess in other words, is that a reasonable, if I add that back and start with the $10 million, is that a reasonable baseline for next year on a kind of run rate basis?
Christina Kmetko : I mean, we gave some information on the coal segment, which specifically is our Red Hills mine that we think the sales price is going to be lower next year compared to this year, and it's really contractually determined sales price. So I don't know. I'd look at what we said about MLMC, Mississippi Lignite Mining Company and the outlook.
Doug Weiss: Right, okay.
Christina Kmetko : We haven't added it back, Doug, because it has been recurring over the past year. Each quarter we have taken a write-down. So that is why we have included it within our numbers as opposed to excluding it.
Christina Kmetko : Right.
John Butler: Look, it's called out as an individual number. I mean, everybody can do their own analysis if they want to add that back.
Doug Weiss: Right. Okay. And then I guess on the MLMC volumes, despite having that check-in boiler come back online, they're still a little bit late, but I guess your guidance suggests you see that strengthening next year.
John Butler: Well the plant was down. One boiler was down for half the year. They also had an outage later in the year. Anytime there's a significant outage, which this was they get inside and decide what else might they need to do that they could schedule at the same time. I think some of that took a little longer than we had expected. But I wouldn't put anything significant into the volumes from last year compared to going forward.
Doug Weiss: Okay. I guess I'm still struggling to kind of -- and maybe I just have to wait for next quarter, but to get a handle on what normal MLMC gross profit looks like, it's, I guess last quarter it was kind of break-evenish on a gross profit basis. This quarter it was a lot, but then that includes that inventory write-down. So I don't know if there's anything more you could say about it. And then you have stronger volume coming, but then you have a price reduction.
John Butler: If you don't mind, we'll just do the pieces of that, right. Of course you've got volume. When we know that there's going to be any kind of significant outage that's going to affect volume, I think we generally, although not always, try to signal that so that investors know what to expect. So that's the volume side. I mean, I will say in general, as we all know there's increasing demand for electricity across the country. And it'll vary plant by plant, power plant by power plant. We think generally that's going to be helpful with respect to electron sales, which is directly related to coal deliveries at all of our plants, or in all of our mines, with respect to all of our utility customers. So then you go to price, right. At Red Hills, price is determined by a contractual formula that's based on some indices that reflect general costs involved in mining. I will tell you that throughout the history of this mine, which is now 25 years, generally the price has gone up with inflation month after month, quarter after quarter, year after year. Theirs is -- the way the formula works, there's, it's right now producing a decrease in price, which I would view as, I view that as an aberration rather as the norm. I think that will readjust itself into a more normal pattern going forward. Although, we all know it's impossible to predict exactly where inflation is headed generally, as well as with respect to specific indices. Right, so you get volume, you've got price, and then the other part is our costs. And I would tell you when you look at our costs, we've spent the last couple of years, and I know you know this, we spent the last couple of years opening a new mine area and spending quite a bit of capital in getting all that up and running. That's now done. But what that's done is put a significant amount of depreciation into our cost structure. And the life of the mine goes to 2032. We don't see significant additional capital requirements. There will be some, but they're not anywhere near the extent that we've had the last few years. So your depreciation in a typical manufacturing business, you would think of depreciation and maintenance CapEx offsetting each other. In our businesses, that's not really true. In particular here, you see, you're going to see gross profit is, as you mentioned, operating profit is, as we think about it, including an elevated level of depreciation that really is, to me, is an add back because we're not in a position where we're going to have to replace that depreciation with more CapEx. So those are just some things to think about as you're looking at MLMC in particular. Is that helpful?
Doug Weiss: That is helpful. I think you said $13 million of CapEx for the coal segment. Is some of that going to the unconsolidated entities?
John Butler: So our customers fund all of the CapEx of the unconsolidated entities. We don't fund any of that CapEx. Customers pay all the costs. They provide all the capital.
Doug Weiss: Okay. So that, I mean, push back a little bit. Isn't that level of CapEx above your depreciation level for MLMC?
John Butler: Well, remember, some of that CapEx is money from prior years that just didn't get spent. If you look back, I don't know, let's say a year ago, although I can't be specific, you guys can be specific. But if you look back, we were saying 2025 was going to be lower CapEx levels, but we didn't spend things in 2024 And that's pushed over into 2025. So sure, CapEx looks like it's bumped up a little bit. But anytime you can delay spending capital, that of course is a good thing. This capital expenditure isn't a surprise increase. It's just money that didn't get spent that's tailing into this year, for the most part.
Doug Weiss: Got it. And then just quickly on the price reset, are you able to say sort of what it inflation is still, I mean, inflation is still going up. Are you able to say what created that aberration that brought the price down?
John Butler: It's an incredibly complex formula that looks at period versus period changes in a basket of specific indices that are related to mining inputs. One of those is an index with respect to labor costs. One of those is related to diesel costs. There's another, a number of other indices that are in there. And because there's period versus period comparison, so it's really looking at the change over time, not a specific individual level. That's what can cause some of these swings. I will tell you that this contract was executed back in the middle 90s, maybe early 90s. It was before any of us were around. And it is not a pricing formula that any of us would sign up today, but it's what we live with. It also ties to the contract between the power plant and TBA with respect to the electron sales. So, it kind of is what it is.
Doug Weiss: I see. Okay. Got it. On the Mineral Management division, obviously, gas prices have come up a lot over the last month or two. And I wondered if your guidance reflected some conservatism on prices, or is it that, given the low prices last year, drilling has come down, or well expansion has come down, and it's going to take some time to get that going again, assuming prices hold at these higher levels?
John Butler: Well, I mean, I'll tell you generally, culturally, we don't see a lot of upside in being overly optimistic. I know there's lots of companies out there that do that, but that, to me, leads to over-promising and under-delivering. We would rather be more on the conservative side of things, because there's just little upside in us getting out on the edge of our projections. So, there's definitely some conservatism in there, both with respect to pricing, I would say, as well as with respect to volume production and the timing of new development. We tend to be pretty conservative how we think about those things. And if we end up with some nice upsides from that, that's great for all of us.
Doug Weiss: Okay, great. Makes sense. On North American mining, so I guess first, you had the weather effects at the end of last year, and you had mentioned on the last call that sometimes you see a pickup as there's some rebuilding after hurricanes. Is that, are you seeing that at this point?
John Butler: Maybe in a small way. But the damage was pretty severe, especially through Central Florida. And I think we're yet to see how this really plays out with respect to pick up over and above what would be a normal level of production related to the hurricane.
Doug Weiss: So, it's sort of back to normal, but you're not seeing elevated demand.
John Butler: I'm sorry, can you say that again?
Doug Weiss: So, trends are kind of back to where they were before the hurricanes, but you haven't seen any sort of extra demand, is that?
John Butler: Yes, I'd say they're headed that direction. Are we seeing a post-hurricane bump yet? I don't think we are to any significant extent. But I can't promise how it plays out in this particular situation, but generally you do see a bump six to 12 months later following the hurricanes. This is a little different because you got three in a row.
Doug Weiss: Right, yes. And I spent some time on the North American Mining website and going through your K's and I guess what I've concluded and let me know if I'm wrong on this, is that that business is differentiated versus a lot of mining operations in both the dragline expertise and the ability to do mine quarries that are submerged. But I've noticed that I think the language changed a little bit in the K you released yesterday and also the website seems to be changing a little bit. And so my impression is that as you expand that business, you're going to be doing less of that work. So I guess, A, is that correct? And if that's true, is that an implications for the economics of the business and your ability to add customers? I wonder if you could kind of talk to that a little bit.
John Butler: Yes. So North American Mining, I apologize, but we're going to do a little bit of history here, right. North American Mining came back in 1995, was the origin of this, working with the customer that we still work for in Southern Florida. And we were -- they were looking for somebody that had dragline operating expertise and we started helping them. That grew somewhat until 2015, over that 20 years. And then in 2015, we really started focusing on how do we grow this business pretty substantially. That led us to really take a deep dive into what is our, what are our unique skills that give us a competitive advantage in this space? Well, one of those competitive advantages is we are told by one of the largest equipment manufacturers in the world that they believe that we operate more draglines than any other company in the world. Let's say there may be some countries who operate more, but they think we operate more than anybody else. So you start fundamentally with a unique piece of equipment that requires some specialized skills in order to get the full productivity capabilities out of that piece of equipment. Now you take that to Florida and it's even more specialized because in Florida primarily we're mining under in quarries where the aggregates are underwater. So it's a further specialization of the skill. And we're really the only people that are doing that at any scale at all in the United States. There are some small players out there, but they tend to have smaller equipment. They're sort of much smaller businesses than we are. They don't have the resources to really approach this business like we do. Now, Florida is not the only place that has quarries where you're mining underwater. I will tell you one of the contracts that we have signed with an existing customer, we will be mining starting in 2026. Starting in 2026, we're going to be mining underwater in Arizona. I will tell you when we first heard about this, I said there's no way that they're mining underwater in Arizona because the water table must be so low. That's not actually the case. So this is an opportunity for us to do the same thing in Arizona and it can be done other places in the country as well. So there's probably plenty of opportunities for us to continue to expand this business, which we view as operating a very specialized piece of mining equipment in a unique way. When you get beyond draglines mining underwater, you'll note that we've also been using surface miners, both in our coal operation, which we've been doing for a long time, for sort of surgical extraction of coal. But we've been operating a surface miner, which is like when you're driving down the road and you see those milling machines that are chewing up the pavement and putting it into a truck. It's the same kind of machine we use except much, much larger and obviously with much stronger extraction capability. So we have been using a piece of equipment like that to help a customer extract limestone. And the advantages of that are you don't have to -- the customer doesn't have to crush it to the same extent because the machine already grinds it up. And you don't have to incur blasting. So you think about quarries in fast growing areas, we don't operate in Syria, but I'm just going to say there's quarries around San Antonio. When you think how San Antonio has grown tremendously in the last several years. They now have businesses and housing closer to these quarries and they have trouble with blasting. These are dry quarries. We think that this is a piece of equipment where, again, we've got very specific expertise where we think that we can go provide this service to others in a way that will be good for their business. Now, in every instance our main competition for the work that we do is the quarry operators themselves. I would say a majority of quarry operators do their own mining. Well, as we work with more and more of these guys, we see that there are lots of opportunities to bring our expertise to the table and let them, they want to focus on what they're good at, which is reading their market, securing their reserves, processing it in a proper way, selling it and all that. Their expertise doesn't necessarily lie in mining. So this is where we come in and we think that we can provide the mining services for them in a way that is more economical and effective than they can do themselves. And we can do so, so we can save them money and we can make enough of a margin that is attractive to us. So that's really the framework around this business. Now with respect to the aggregates, that's an aggregate quarry is a pretty simple thing where you're extracting the aggregate, you're crushing it, you're selling it. We're doing the same thing at Sawtooth in Northern Nevada for the lithium mine, except there instead of just running the extraction equipment, we're actually running the whole mine. It's much more like a coal mining operation where you've got to split the top soil and do permitting and do all this work to ultimately extract the resource. So it's the same kind of very specialized mining, but in a very traditional way with respect to the lithium mine. It's a long answer, but I hope that's helpful.
Doug Weiss: That is helpful. Are the economics or the margins similar on the dragline work versus the surface mining work?
John Butler: I would say generally, yes, because, again you're competing. Our margins are tempered by how somebody could do it themselves. And the trick to the expansion in this business I guess we allude to this in the earnings release, is when we land a new project, if it's purely services, we're operating equipment that's the dragliner, surface miner that's owned by the customer, then there's very little cash out on our part. And for the term of the contract, we're going to earn fees based on the work that we do. If we have to put in capital, we will put in capital up front. So there's a capital outlay at the beginning. But that's the capital outlay at the beginning. We're going to have to depreciate the equipment. That's a non-cash charge. And over the life of the contract, we're going to generate very nice returns. These things have nice NPVs. They have attractive IRRs. And if you think of an annual measurement of return on capital, well, obviously, that's lower in the beginning when you've got undepreciated capital, and it's much higher later in the contract when you have lower depreciated capital. But our business overall, not just at North American Mining, is that we seek out long-term contracts or long-term investments with respect to mitigation resources. And every year when we sign new contracts, we get new customers, we invest in minerals. We're making a single-year investment that really, I'm going to use the word annuity, but obviously, that's a stupid question and it's straight up annuity. But we sign these things up and then know that we're building in our revenue and profit streams for years to come. And that's what we've been doing the last 10 years in this business is adding more businesses, adding more projects, adding more opportunities for growth, and building, building, building. And we're at 2025 is kind of the point when all this is starting to reach a tipping point. When, as we mentioned, 2025, we think is going to be cash positive. And we think that's going to continue to the future as we add more and more layers of contracts and investments and projects on top of each other.
Doug Weiss: And then on Thacker Pass, lithium prices have really come down over the last couple of years. And I'm just curious if you have any visibility or any thoughts on the timing of, I think it's moved out a little bit, but do you think that that's going to be somewhat dependent on a recovery in lithium prices, or do you think it's going to go ahead regardless?
John Butler: Well, I mean, I think this project did a lot going for it. If you look at the Lithium Americas website, they've got a tremendous amount of information with respect to their project and their reserve and why they believe this is a compelling investment for them. Their disclosures include discussion of their costs. And amongst the ways that you can get lithium whether it's bound up in rock or it's a brine process or whatever, the extraction process, the mining process here is comparatively low cost. And the processing, the process that their facility will go through in order to extract the lithium from the clay is pretty standard stuff. There's no magic in this. It's all standard processes that have been used in other applications. So they actually have a pretty low cost approach to here, to their product that I think withstands a lot of price decrease and still leaves them with very significant profits. I would also add that they recently have issued a release where they've proved out, we actually did some of this work with them. They proved out that they are now the largest proved lithium reserve in the world. And it's domestic, right? This is in the United States. So you think about a number of ways that this thing is highly competitive, it's low cost, even at current prices, it's in the United States. It's even all the output of this Thacker Pass project in phase one is a tiny drip drop in the bucket with respect to lithium demand. So I feel pretty good about this project overall and our position as the contract miner for them. But I would encourage you to go look at site because they've got a tremendous amount of information. It's a really thoughtful website with a lot of information. You can get way in the weeds in some of their detail.
Doug Weiss: Okay. I'll do that. You had the -- you took the reserve last quarter on the phosphate customer. Is that still not operating that phosphate work? Or is that going to start?
John Butler: That is not operating at the current time. We're monitoring the situation and trying to see how that plays out.
Doug Weiss: Okay. And then just on the cash flow, working capital was a significant use of cash and I guess that was receivables and inventory. I guess a couple of questions there, I guess, a, do you think it will be working capital be a source of cash do you think in 2025? And then on the inventory itself, you give a little detail and it's primarily a mining supplies. Is that just, is that something that's going to fluctuate or is that sort of an upward trend as you grow North American mining? Like what are those mining supplies?
John Butler: So let me give, share some thoughts on working capital, then I'll give it to Liz for more detail. Working capital for our business operates very different than a typical business that's making things and selling them and they're looking at how does all that work. For us, if you look at our North American mining business, we will stock parts in advance of significant outages. Well, in advance of any outage, make regular maintenance for the many draglines that we operate. Some of these we own the draglines and in other instances, our customer owns the draglines. So as we see outages coming, we will increase our level of inventory because there may be specific parts that are very long lead time in their nature. And that will -- that'll show up as an increase in inventory for a period of time, even though we know that we're ultimately going to, we're going to put those into an outage at a dragline and then the inventory will come down. So that's kind of a normal ebb and flow that goes through North American mining based on what it sees coming with respect to outages. The other thing I'd add is that Mitigation Resources, the accounting there is as we develop mitigation banking credits, whether they're stream credits or wetland credits, those show up as inventory and then over the life of the mitigation bank, those will be, the Army Corps of Engineers and we have agreed on a schedule under which those can be sold over a period of time. So you'll see inventory buildup in that business as well, because we create a product, which is a stream or wetland credit, goes on the balance sheet as inventory. And then as we sell it, it comes off inventory. Liz, you want to add to that?
Elizabeth Loveman : As J.C. mentioned, we do expect 2025 to be capital positive. Part of that is some favorable changes in mining capital. We had some timing differences in trade receivables that should kind of come back in ‘25. And as J.C. mentioned, we're building up inventory. Part of that is some critical spares as well, related to as we continue to increase the contracts at North American mining, we have a larger pool of draglines that we need critical spares for.
Doug Weiss: Okay. So when you talk about cash flow positive, you're talking free cash flow sort of operating cash from operations, less CapEx.
Elizabeth Loveman : Cash flow before financing.
Doug Weiss: Sorry, I didn't hear you. What was that?
Elizabeth Loveman : Yes, cash flow before financing.
Doug Weiss: Right. Okay. Yes.
John Butler: CapEx before financing.
Doug Weiss: Yes. Okay. All right. Well, I think that's all I have. I really, as always, really appreciate the time and congrats on, you're clearly making progress on all your initiatives. So thanks again and look forward to talking next quarter.
John Butler: Yes. Well, thank you for your question. Sorry you had a little technical glitch in the beginning, but glad we stuck around with your question. And like you say, we love our story and we're going to engage in a more fulsome way later this year in investor outreach. So we look forward to sharing information with everybody about that in months to come.
Operator: There are no further questions at this time. I will now turn the call over to Christina for closing remarks.
Christina Kmetko : Okay. Thank you so much. I believe, as I mentioned earlier, if you do have any questions, please reach out to me. My phone number is on the release. I hope you enjoy the rest of your day. And I'll turn it back to Joelle to conclude the call.
Operator: Ladies and gentlemen, replay information for this call is 1-888-660-6345. Passcode 37905, pound key. Again, the number is 1-888-660-6345. Passcode 37905, pound key. This concludes your conference call for today. We thank you for participating. and ask that you please disconnect your lines.